Executives: Christine Skold – Vice President-Investor Relations and Strategy Gregory A. Sandfort – President and Chief Executive Officer Anthony F. Crudele – Executive Vice President, Chief Financial Officer and Treasurer Steve K. Barbarick – Executive Vice President, Merchandising and Marketing Lee J. Downing – Executive Vice President-Operations
Analysts: Peter S. Benedict – Robert W. Baird & Co. Michael Lasser – UBS Securities John R. Lawrence – Stephens Inc. Chuck Cerankosky – Northcoast Research Christopher Horvers – JPMorgan Scot Ciccarelli – RBC Capital Markets Chandni Luthra – Goldman Sachs & Co. Simeon Gutman – Morgan Stanley Gary Balter – Credit Suisse Alan Rifkin – Barclays Capital Seth Basham – Wedbush Securities Denise Chai – Bank of America Merrill Lynch Mark R. Miller – William Blair & Company LLC Brian W. Nagel – Oppenheimer & Co. Inc. Dan Wewer – Raymond James Adam Sindler – Deutsche Bank Joe Feldman – Telsey Advisory Group Mark K. Montagna – Avondale Partners, LLC Matt Nemer – Wells Fargo Securities Brent Rystrom – Feltl and Company 
Operator: Good afternoon, ladies and gentlemen and welcome to the Tractor Supply Company’s conference call to discuss Third Quarter 2014 Results. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please note each participant will be permitted to ask to ask one question with a follow-up. Please be advised that reproduction of this call, in whole or in part, is not permitted without written authorization of Tractor Supply Company. And as a reminder, this call is being recorded. I would now like to introduce your host for today’s call, Christine Skold of Tractor Supply Company. Christine, please go ahead.
Christine Skold: Thank you operator. Good afternoon and thank you for joining us for Tractor Supply Company’s quarterly earnings conference call. Before we begin let me reference the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. This call may contain forward-looking statements that are subject to significant risks and uncertainties, including the future operating and financial performance of the Company. Although the Company believes the expectations reflected in its forward-looking statements are reasonable it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct. Important risk factors that could cause actual results to differ materially from those reflected in the forward-looking statements are included in the Company’s filings with the Securities and Exchange Commission. The information contained in this call is accurate only as of the date discussed. Investors should not assume that statements will remain operative at a later time. Lastly, Tractor Supply Company undertakes no obligation to update any information discussed in this call. I’m now pleased to introduce Greg Sandfort, Tractor Supply Company’s President and Chief Executive Officer. Greg, please go ahead.
Gregory A. Sandfort:  Thank you, Christine. Good afternoon, everyone, and thank you for joining us. On the call with me today are Tony Crudele, our EVP and CFO; Steve Barbarick, our EVP of Merchandising and Marketing; and Lee Downing, our EVP of Store Operations and Real Estate. The team here at Tractor Supply delivered a solid third quarter performance and we are very pleased with our results. Sale was strong across the board and benefited from an extended spring/summer selling season and the early sales of fall/cold weather products. Our business performed consistently from month-to-month and region to region with each of the regions delivering mid-single-digit comp increases for the quarter. Comparable store sales increased 5.6% versus an increase of 7.5% in the last year’s third quarter, which was our most difficult quarterly comparison for the year. The comp increase was driven by a strong performance in both traffic and ticket. Comp store transaction count increased 3.3% and average ticket increased 2.2%. This represents our 26th consecutive quarter of positive comp transaction counts. Now, with the delayed beginning of the spring selling season in many of our markets this year, I felt the team did a terrific job managing product assortments and inventory levels to capitalize on the shift in the weather. We experienced strong sell-throughs of seasonal categories such as lawn and garden supplies, live goods, outdoor power equipment, fencing and agricultural chemicals for the quarter. We also saw strength on the left hand side of our store in categories such as hardware, truck and tool. Now we updated a number of these plan-o-grams during the earlier part of the year and these changes clearly contributed to our increase in comparable store sales. And also big ticket sales increased for the quarter, driven by both late summer and early fall seasonal product sales in such categories as outdoor power equipment and heating. Based on our experience that a cold extended winter season like we had earlier this year can result in early fall buying. We delivered our heating and cold weather items earlier this year and we experienced a solid sales response from our customers without any additional major promotions to our exiting event calendar. Now, there were a number of other achievement in the quarter and let me highlight those. Our annual Pet Appreciation Week or P.A.W event as we call it, occurred in the third quarter again this year, and we again experienced a great response. And just as a reminder for those of you who are not familiar with this, this is a week-long event that promotes pet adoption and pet health awareness. We partner with local pet adoption agencies and community groups to promote pet adoptions and we offer exceptional values on pet products throughout all our stores. Year-after-year the P.A.W event continues to position us an authority for pet food and pet care. The opening of our new store support center on-time and on-budget was another highlight. The new building which was designed to be lead certified consolidated our three previous store support center locations into one facility, bringing all of our dedicated team members into a single campus setting. Deferred from the new store support center, we also opened our new plan-o-gram facility which we call our merchandised innovation center or MIC. This now give us the ability to review, analyze, and approve multiple plan-o-grams and floor sets in a full sized store environment before the proposed rollout to our stores. This will also prove to be a big time saver for our merchant and digital display teams. Now turning to the fourth quarter, we plan to open our first Tractor Supply store in Utah, which will be the 49th state for Tractor Supply and we recently opened our first Tractor Supply store in the State of Washington and we’re excited about the opportunity to grow our market share in the Washington markets as we introduce Tractor Supply store as a format to our loyal customers. Additionally, we continue to remain very pleased with the overall performance of all our new stores that are opening in the West. Now in late 2015, we will open a new distribution center to support store growth in the West and the Southwest regions and while we have not announced the exact location yet, we’re in the process of finalizing the agreements and acquiring the land for the new building and we expect to be in a position to provide more information shortly. We also recently leased a second distribution facility in Hagerstown, Maryland and we plan to be shipping products in this facility in early 2015. This new facility will support our continued plans for growth in the Northeast. And finally, in mid November, we plan to open two HomeTown Pet stores near our store support center here in Brentwood, Tennessee. HomeTown Pet is a new and unique pet supply store that will offer high quality products and services in inviting and welcoming atmosphere for a large variety of pets and animals including dogs, cats, poultry, wild bird, horses and more. With our test and learn philosophy as a company, we believe these two stores will serve as great vehicles for us to improve our customer insights and product selections in the local markets we served. And as you know, pet has been a growing and important category for Tractor Supply for some time and we think these stores will help us to further develop our pet business. We have not determined our future expansion plans for this concept, but we’ll apply the initial earnings back into our Tractor Supply stores to grow our sales. Tractor Supply sells products that people need and use every day. Our goal is to sell these products at great prices, keep them in stock and make it very easy for our customers to shop in our stores. Customers trust us to have what they need and when they need it. It doesn’t matter if it’s relatively cool in May or usually warm in November. It’s our job to anticipate these needs so they have to merchandise our customers’ want. Improved tools in analytic scenarios such as price management, demand planning and inventory allocation will help us meet our customers’ needs and we believe by doing so this will benefit our sales and margin growth over the long-term. In closing, I’d like to thank all of our dedicated team members out there who work so hard to meet our customers’ needs each and every day. Whether it be in our stores, distribution centers or at the Store Support Center, they delivered a strong third quarter, and we as a company continue to believe that the underlying trends and fundaments of our business are solid. We all know that retailing is a challenging, but exciting business that is always changing and I believe we have the right people and tools in place to deliver long-term growth and shareholder value creation for many years to come. We appreciate your time today. And I’ll now turn the call over to Tony for additional commentary on the third quarter financials and our full year outlook. Tony?
Anthony F. Crudele: Thanks, Greg, and good afternoon, everyone. For the quarter ended September 27, 2014 on a year-over-year basis, net sales increased 12.6% to $1.36 billion. Net income grew by approximately 18.3% to $76.6 million or $0.55 per diluted share. Comparable store sales increased 5.6% for the third quarter, compared to last year’s increase of 7.5%. Similar to last year, we experienced a late spring as ground moisture and mild temperatures extended the spring selling season, resulting in strong sales and favorable seasonal sell-through. The animal and pet category continued to perform well with solid comps despite deflationary pressures. Seasonal categories such as gardening and live goods, outdoor recreation, fencing, riding lawn mowers and repair, all performed very well. Additionally, the third quarter sales benefitted from early fall/winter purchases as the cooler weather later in the quarter served as a reminder of last year’s harsh winter. Comp transaction count increased for the 26th consecutive quarter, gaining 3.3% on top of a 6.7% increase last year. Comparable transactions were driven by continued strength of consumable, usable and edible products and the strong performance of the seasonal categories. Average comp ticket increased 2.2% compared to last year’s 0.8%. The increase was driven by the mix of goods and the strength of big ticket sales, partially offset by deflation. A few key points about the quarter, we had a solid comp sales trend in July and August against a very tough sale comparison from last year, and we also had a similar late spring. Comp sales were relatively consistent throughout the quarter with all three months having positive mid-single digit comp sales. All regions performed well, as both the north and south benefitted from the extended spring season and the north in particular benefited from the early fall seasonal sales. Taking out the positive impact on the average ticket, as the overall big ticket comp was about chain average and big ticket transaction account remains consistent as a percent of the total sales. Strength in our seasonal categories such as outdoor power equipment drove the positive big ticket comp sales increase, despite the continued headwind in the safe category. Depletion was approximately 90 basis points. Last year’s third quarter had approximately 100 basis points of inflation, a swing of 190 basis points. Turning now to gross margin, which declined 29 basis points, our initial direct margin improved as a result of our initiatives around price management and strategic sourcing. Import purchases in the quarter increased 26.9% and represented 11.4% of the sales mix. Also exclusive brand sales increased 13.2% compared to last year’s Q3 and were approximately 30.7% of sales. Deflation was the most significant favorable factor impacting margin. As we focus on maintaining margin dollars per unit, this typically will result in an improvement in gross margin rate in deflationary period. Offsetting the benefit from deflation and our margin enhancing initiatives was merchandise mix which we estimate had a negative impact of approximately 12 basis points. The mix impact resulted from the strength in sales in live goods, power equipment and the heating categories, which all have lower than chain average margin and had solid year-over-year increases. Freight increased approximately 23 basis points as we had higher transportation costs from the mix of merchandise in the quarter and the increase in stem miles to new western store base. As Greg had mentioned, our promotional cadence was similar to last year and had only a slight negative impact on margin. For the quarter, SG&A including depreciation and amortization was 25.2% of sales, an improvement of 84 basis points over the prior quarter. We were pleased with our expense control in the quarter, which coupled with a strong comp sales provided significant leverage. Incentive compensation had a favorable impact on the expense leverage and represented over a third of the leverage benefit. The prior year quarter had a substantial bonus accrual based on the strength of that quarter relative to the full year. Additionally, we saw employee medical and workers comp expense moderate from Q2 levels and was more in line with our expectations. This leverage was achieved despite incurring the majority of our new store support center transition costs, which included lease write-offs for two properties. We estimate that this had a drag on the P&L of approximately $0.01. Our effective income tax rate in Q3 was 37%, compared to 36.1% last year. The rate was consistent with our expectation. The year-over-year increase was due principally to the reduction in the federal [WOTC] (ph) tax credit. Turning to the balance sheet, at the end of Q3 we had cash balance of $48 million, compared to $46 million last year. We had an outstanding short-term debt of the $150 million, compared to $40 million last year. As we had a higher fall seasonal inventory build at the end of the quarter, and made significant purchases in our stock repurchase program during the quarter. During the third quarter under our stock repurchase program we acquired approximately 1,574,000 shares for a total of $97.4 million. We estimate that the share repurchase program did not have a material impact on the EPS for the quarter. Average inventory levels to store at quarter end were 3.7% higher than last year. While annualized inventory turns increased by nine basis points for the quarter. We are pleased with the productivity inventory during the quarter, as the team did an excellent job allocating inventory to key categories and making sure we restocked for the extended spring season. Additionally, we brought several key fall winter categories in early and are well prepared for the upcoming season. As result of the prolonged spring season we do not have significant markdown exposure as we move into the fourth quarter. Capital expenditures for the quarter were $43.3 million, compared to $58.2 million last year. We opened 30 stores this quarter, compared to 23 stores in the third quarter of 2013. The decrease in capital expenditure relate to cycling expenditures over the construction of our Southeast distribution center last year. Turning to our outlook, based upon the third quarter results, the company has increased its fiscal 2014 guidance from the low end of the previously provided ranges to the high end of the ranges, which were net sales of $5.62 billion to $5.7 billion, comparable store sales of 2.5% to 4% and net income of $2.54 to $2.62 per diluted share. We have reduced our estimates of capital expenditures to range between $190 million to $200 million as we have better visibility to the timing of some of our larger projects such as the Southwest distribution center, and our Northeast distribution center expansion project. And we do not anticipate any purchases of leased stores in the fourth quarter. Although some of these projects will move into 2015, we will not raise our target of $215 million of CapEx in 2015 which is consistent with our capital expenditure long term plan. New store pipeline is tracking to our full year goal of 102 to 106 new stores. Based on the volume of our share repurchase year-to-date, we believe that our year-end cash balance will be about $25 million to $50 million compared to our previously stated target of $100 million to $150 million. We’re also adjusting our estimate for full year diluted shares outstanding to approximately 139.5 million. In the fourth quarter, we now expect deflation to moderate down just slightly from the Q3 levels in range between 60 basis points and 90 basis points. This would put deflation at the high end of our original full year guidance of flat to 100 basis points. We expect gross margin to be down slightly in fourth quarter, as the fourth quarter is our toughest quarterly comparison due to the strong seasonal sell through and minimal markdowns last year. We expect to have continued freight and mix headwinds to offset some of the benefits of our key gross margin initiatives. We have been very disciplined in our management of SG&A expense in the back half of the year and we expect to leverage SG&A in the fourth quarter. We have begun to cycle some of the investments we’ve made in the back half of last year making the comparisons a little easier. We forecast that our effective tax rate for the full year will be approximately 37% consistent with our previous guidance. Although I will provide full guidance year end conference call consistent with our past practices, I wanted to highlight some of the larger capital projects and incremental expenses for 2015. The construction of our Southwest Distribution Center and the related pre-opening expenses, expansion of the capabilities of our Northeast distribution facility by adding additional lease base close to the current facility in the first quarter of next year, the building of two to three mixing centers next year, system improvements in our omni channel platform, enhanced IT security and demand planning and forecasting tools, higher transportation cost from additional stem miles resulting from our continued expansion in the west. Over the past two years, the company has invested in many initiatives to position itself for long term growth. We have managed the business and related investment spending to absorb these costs in our financial model, while delivering strong bottom line growth. Therefore, as we continue to invest in the long term growth of the company, our goal is to execute these incremental investments, such as those I just mentioned, while managing the financial impact to enable us to deliver against our annual EPS target of mid-teens growth. To conclude, we are very pleased with our results and execution in the third quarter. We believe that we took advantage of the extended spring summer selling season and well positioned to finish the year strong and deliver another solid growth year. This concludes our prepared remarks. Operator, we will now turn the call over for questions.
Operator: (Operator Instructions) And we will take our first question from Peter Benedict with Robert W. Baird.
Peter S. Benedict – Robert W. Baird & Co.: Hi guys, thanks for taking the question. Good job and thanks for the color on the call. That was helpful. First Greg for you I know you said that the performance of the stores across the region is pretty consistent, that’s obviously encouraging to hear. Can you take down a little bit into that though? There’s some fear out there about ag related markets? Can you talk about, so that they agree that you guys look at that, how those specific markets perform? Are you seeing any kind of stress in those markets?
Gregory A. Sandfort: Hi Peter it’s Greg. I will give you a brief comment, let Lee comment, as well. We are not seeing any real difference in the business in the upper Midwest and the Midwest, where you just mentioned a lot of these quote fears of the ag-business being difficult have occurred. Our business was very consistent across those regions, as well as it was in the south, the north and the west. So no we’re not seeing any real impact. Lee do you have anything to say?
Lee J. Downing: Peter up the Midwest the issue out there is Europe in the north, so you could imagine you got the most of the late spring season in that area and you also would have got a little more of the early winter season. So that kind of held that area up. So I agree with you Greg, I think, we had a good even keel across all regions including the Midwest.
Peter S. Benedict – Robert W. Baird & Co.: Okay thank you. And then as you talk about new store productivity, it looked good again. Just curious comment, I know you’re pleased with what’s going on so far in the west. But what kind of competitive response are you seeing from the competitors as you move into these markets, anything worth calling out? 
Gregory A. Sandfort: Peter we haven’t seen anything out west that would indicate that they are really reacting. Their prices have kind of stayed where they are and we are entering the market. People seem to like where we are and where we would join the business.
Peter S. Benedict – Robert W. Baird & Co.: Okay great, last one for Tony. Just the decline in fuel cost or gas prices that we’ve seen here in recent months, should we think of that as being a potential positive on the freight front going forward? Help us understand how it works through the P&L over the next few quarters. Thank you.
Anthony F. Crudele: We definitely had a positive but it was not significant relative to the total transportation expense. We are optimistic that go forward, that it will prove to be a tail wind. But at the same time we are concerned that there will be some additional transportation cost that we’re going to have to manage. But for the most part we believe that it can be served as a positive as we move forward.
Peter S. Benedict – Robert W. Baird & Co.:  Okay, fair enough. Thanks, guys.
Gregory A. Sandfort: Thank you.
Operator: And we’ll take our next question from David Magee with SunTrust.
Unidentified Analyst:  Hey, guys, this is Linda in for David. Just in regard to the new stores out West, since they’re a little bit larger, just how is the new store productivity performing out there? Is it in line with the company, a little bit higher?
Anthony F. Crudele: This is Tony. Depending on how you measure the productivity, from a sales perspective they are much stronger sales stores than the average stores and we really like the volume that we get from the stores out West. Obviously, the expense structure is a little bit heavier as well, but net-net from a long-term return perspective, they are at or slightly above our normal approval rate.
Unidentified Analyst: What about on the per foot basis? Would you say… 
Anthony F. Crudele: On a per foot basis, they are not significantly larger on a square foot basis. So the incremental sales, obviously, makes them more productive.
Unidentified Analyst: Okay. Is e-commerce growing at the rate you’d expect?
Gregory A. Sandfort: I’ll answer that. This is Greg. Our e-commerce business is very robust right now. It’s still very small and we have some more investment spending in the early part of 2015 to really get the platform where we’d like it. And then we believe it will really start to accelerate. So it is running well ahead of the comps that the overall company is running, but it’s still at a very small contribution rate, but we like what we see, all the enhancements we’ve given. That pieces of business so far are working and we just have a few more things to dial-in. And then I think by the early part of next year, we’re going to start to see this thing really start to ramp. 
Unidentified Analyst: Okay. And then just lastly, how would you guys prefer winter to play out? What would be the best scenario?
Anthony F. Crudele:  Well, I’ll take that one. Certainly cooler weather really bodes well. You heard Greg talk a little bit about some early cool season weather impacting Q3. I will tell you credit to the team. We talked about getting products in early. We made some strategic investments in inventory and that’s paid off for us. We’d like to see it stay cool and quite frankly heating is a good business for us. We saw lot of wear in apparel. So I would say the colder the better.
Unidentified Analyst: Okay, great. Thank you
Operator: And we’ll take our next question from Michael Lasser with UBS.
Michael Lasser – UBS Securities: Good evening. Thanks a lot for taking my question. So first, Tony, I wanted to follow-up on the comment you made towards the end of your remarks about making investments while still maintaining the mid-teens earnings growth. This year at the high end of the range, if you hit it, you are going to grow earnings maybe 13%. We could argue whether that’s mid-teens or not, but the suggestion would be that this year would be an aberration out of the mid-teens earnings growth but even if you make a similar number of investments next year we should expect similar to better growth rate is that fair?
Anthony F. Crudele: Yes, I guess we could argue a little bit as to whether 13% was considered to be mid-teens but the comment represents that we know that we are a growth company, we know that to continue to grow we need to make investments in the business. We believe it that those investments have been included in our modeling. The last two years, we’ve talked about the last two years being investment years. We think that now that it’s sort of embedded in our model go forward that we can continue to grow the company in mid-teens and be able to continue to make those type of investments to build out our infrastructure. There just always seems to be concerns that every year is going to be an investment year and we need to chase something for earnings and we believe as we go forward that this already embedded in our modeling and that we can deliver our long term target. Having that said, as in the past we have always talked about growing the chain at 8% having some comp sales increase looking at 25 basis points of EBIT margin improvement with the share repurchase we think that we can get to the mid-teens well.
Michael Lasser – UBS Securities: Okay. And my follow-up is on the gross margin, you outlined freight was up 23, mix was up 12, so without 35 basis points your gross margin was down 28, you should have seen a little bit of benefit from deflation you’ve outlined all the factors that are margin driver that are, that they use continue to benefit from. So is there something else going on I know Greg mentioned that. Promotions were really part of the picture this quarter at least throughout most of the quarter. Is there something else going on? And then as part of that should we expect to see gross margin accelerate overtime as you build out more distribution centers and you’re going to in turn lower the numbers 10 miles that that you have?
Anthony F. Crudele: That clearly is one objective that we have as far as using the distribution network when it comes to the gross profit drivers, I try to highlight some of the larger impacts. When you look at all the variables involved in looking at gross profit, there is probably about 10 or 15 different levers. There’s shrink. I think it was slightly down – well it’s slightly up this period. There are special events that we have. There are vendor funded programs that have impacts. The marketing and the benefits of the programs that we have in place may impact margin in certain ways. So what we’re trying to communicate relative to the marketing was that, we did not have significant numbers of programs out there that we’re trying to buy the sales. We feel that it was a very normal year for us from a marketing standpoint. So when you look at some of the other factors, there were some other negatives that brought it down as an offset. But the two that I mentioned between mix and freight, those are the largest drives and we believe that that those go forward are sort of the key headwinds that we’re going to be facing. So obviously with our initiatives to drive EBIT margin performance either through gross margin or SG&A leverage, we want to try to deliver that 25 basis points of improvement each year.
Michael Lasser – UBS Securities: Okay that’s helpful. Let me speak one last to you. Greg, there is a lot of discussion on the commodity price complex and grain prices and the potential impact that it could have on your customer base, that’s probably anyone’s guess and at least your performance would suggest that it’s not have an impact, but does that have any impact on the way you’re running the business? Are you thinking about changing up the product mix if corn stays at $3 to $4 a bushel for an extended period of time? Does that influence in any ways, the shape or manner in which you run the business? And I’ll turn over from there. Thank you.
Gregory A. Sandfort: All right, Michael, I’m going to let Steve to address this but I would tell you that it would not change the way that we run the mix of the business because we are a needs-based company. There are certain things our customers need, but I think Steve wanted to give some highlights on that.
Steve K. Barbarick: Yes I’ll tell you Michael, you can look at it being deflationary and yes there may be some top line headwinds, but we’re still continuing to see unit growth. And for the way I sit back and I look at it is there’s a lot of folks have an opportunity now to get into animal ownership where they may have not done so before. So whether it would be getting into bird feeding, when it comes to a lot of bird products that we sell on the seed side, whether it would be herd size. We’ve seen a decline over time in herd size, you may see that come back. So I don’t necessarily see deflation in some of these commodities as a bad thing. If anything it’s putting money back into the pockets of folks that we’re spending a lot more on it. So I think there’s two different ways to look at that and I tend to look at it from that perspective.
Operator: And as a reminder please limit yourself to one question and one follow-up. We’ll take our next question from John Lawrence with Stephens.
John R. Lawrence – Stephens Inc.: Yes, good afternoon guys.
Gregory A. Sandfort: Hi, John.
Anthony F. Crudele: Good afternoon, John.
John R. Lawrence – Stephens Inc.:  Steve, just following on a mix issue, can you talk a little bit about you mentioned some of the positive surprises from the test or a good sell-through on the left hand side of the store. Can you tell us what really worked there and what you’re excited about?
Steve K. Barbarick: It’s interesting John, we talk a little bit about deflation and overcoming some of the top line headwinds that that might cause and we experienced some of that in the last couple of quarters. The team did a really nice job looking out working with our store operations partners, we updated the plan-o-grams, we did a number of resets and not get into too much specifics but the departments where we have product in line every single department had a positive comp store sales performance and I have not seen that long time with Tractor Supply Company. The team has really worked hard. We work with the vendor partners, we switched out some product lines, I would tell you I feel very, very good about the strength of that side of the business. We just not need to keep the momentum going.
John R. Lawrence – Stephens Inc.:  Great, thanks. And just another, you mentioned a little bit more on the mixing centers for next year, Greg can you comment a little bit more about the thought process on that and where we stand and what you’re seeing out of that.
Gregory A. Sandfort:  Yeah, the mixing center concept is really an attempt on our part to replenish the stores in a more rapid response methodology. Just I would call it on high bulk, high velocity low value product and it also take some steps out of us moving the product to distance from the manufacturer all the way to the DC and back to the stores. Mixing center system between all of that and deals with full palletized high velocity, high bulk products that we can push the stores daily every other day once a week – it really depends upon the need but to help cut down on stem miles at the same time though be able to pull inventory back out of the store from the standpoint that we were putting week to 10 days with the supply in the background of these types of products because we only have once or twice a week delivery. The mixing centers will help us push that inventory to those stores as they’re selling it. So we think it will speed our term, we think overall will bring our inventory levels down over time and again keep us in better stock position. So we got two facilities that we will have operational in 2015. We’re moving out of the back to the vehicle DC with the one facility and we’ll be switching off another facility that will be a free stand post to that distribution network. And we’re excited about the idea of it and we believe that it will serve us well but we tested the process and wake over the last year it worked, now we’re going into two free stand units and see how that operates, if that works all will be thank, we’ll take it out to more.
John R. Lawrence – Stephens Inc.: Great, congrats. Good luck in the fall.
Gregory A. Sandfort: Thank you, John.
Operator: And we’ll take our next question from Chuck Cerankosky with Northcoast Research.
Chuck Cerankosky – Northcoast Research:  Good afternoon everyone. Nice quarter.
Gregory A. Sandfort: Thanks, Chuck.
Chuck Cerankosky – Northcoast Research: Tony, could you just repeat one number before I ask my question. You said what private label or corporate brand was as a percent of sales.
Anthony F. Crudele: Yes, I can give you that number. It was 30.7%.
Chuck Cerankosky – Northcoast Research: All right. Thank you. It sounds like most categories did well. Is there anything you’d like to point out that was a little weak in terms of the merchandise categories? And what kind of headwind will it face this quarter?
Anthony F. Crudele:  Overall like the regional performances, we saw pretty consistent strength across the board on the merchandizing side. I will say that we continue to face some headwinds when it comes to safes and storage. We saw that the last couple of quarters. We continue to see that in Q3. We’re doing a lot to offset that, but that’s where I would say some of the softness was.
Chuck Cerankosky – Northcoast Research: Okay. Any other retail R&D going on besides HomeTown Pet? 
Anthony F. Crudele:  Well, Chuck, we’re always trying and testing new ideas, but I would say no. There’s no other large scale thing in relative respect to what you heard from us about HomeTown Pet. But any given time you’ll be in our stores and you’ll see us testing 60 to 70 different ideas throughout the chain. So that’s the test-and-learn mentality that we have.
Chuck Cerankosky – Northcoast Research: All right. Thank you.
Anthony F. Crudele: Thank you.
Operator: And we’ll take our next question from Chris Horvers with JPMorgan.
Christopher Horvers – JPMorgan: Thanks, good evening. So a couple of questions. Can you talk about your thoughts on deflation next year and how that might proceed throughout the year? You’re starting to lap the deflation in the fourth quarter here. Obviously, corn prices are way down. So any thoughts there would be very helpful.
Anthony F. Crudele: Sure. Chris, this is Tony. When it comes to our estimates of deflation, we really do it sort of as a spot calculation and look as to where we are today and compare it to the upcoming quarters or the upcoming year. So I would prefer to push that calculation out until we come through to our next conference call and give the full year guidance. But in general terms, we do expect to experience some deflation next year. And as much as we do see some of the prices decreasing in some of the corn categories, we were hopeful that it will moderate somewhat over what we experienced this year.
Christopher Horvers – JPMorgan: Yes, understand. I mean the comparisons pretty much are straight lined over the next four quarters. And then there has been a lot of discussion in the investment community around the correlation to forming income line. I know you mentioned specifically that all regions comp in the mid single digit range, but can you talk about any evidence in either direction to support or refuse that argument?
Gregory A. Sandfort: Yes. This is Greg. The only evidence I can give you is our performance. It is totally inconsistent with what has been stated out there and I think it’s overplayed, that form income has a direct correlation to our business. We can’t see it. We’ve been watching it for years, it has a slight if any impact. So I think our third quarter performance kind of stands out as a factor that would say that it is not anything that is co-related to our business.
Christopher Horvers – JPMorgan: Okay understood. And then the last question is DC investments next year. Last year, you had a DC opening that caused some margin pressures. You have a couple of things going on in the west, in the northeast. So any thoughts there in terms of maybe how these DC openings compare to the one that you did in 2013? Thanks.
Anthony F. Crudele:  Sure, Tony, again. Last year was a little bit different because last year’s distribution center in the southeast was a relocation. So we incurred probably more cost than opening up a new one because we had a team, we had to relocate, we had some exit cost on the lease. And so there was more transitions cost required. Also as we move into next year and that’s why I didn’t give specifics as to any numbers and what we are laughing this year versus next year but we obviously have the relocation of the store support center. As we move into the distribution center next year, what’s different is we would expect to have a decrease in the stem miles and obviously have a benefit in transportation. And so the only thing that would hold us back next year that will be incremental would be the pre-opening related to the distribution center. Other than that, once it opened and it gets to full capacity, it’s the transportation benefit should offset the additional cost. So we do expect to have some pre-opening related to that facility but again we believe that over the last two years we have incorporated those type of expenses into our operating model and continue to deliver our EPS target despite some of the additional infrastructure build that we’ll have.
Christopher Horvers – JPMorgan: Thanks very much.
Operator: And we will take our next question from Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli – RBC Capital Markets: Hi, guys Scot Ciccarelli. Another follow up on the plan-o-grams and reset, can you give us a specific example of some changes you’ve made. So if we can fair understand why customers had the positive reaction as they did, and could that lead to further reset in the store given the success of the initiative?
Gregory A. Sandfort: Yes, absolutely. First of all, we’re always looking to do different resets and adjusting and modifying our product assortments based on customer demand and trend. But when you look at the left hand side I will use just I will give you just one example. We were looking at the performance of cargo management and we’ve got an emphatic system and we talk a lot about the systems that we use today and how the refining done. And it suggested that our profitability per square foot wasn’t real strong and so we looked across that what opportunities we might see and we see an opportunity for example winch set. So we reduced cargo management by four feet, added that four feet on to the winch program and we’ve seen the numbers just exceed our expectations in a pretty significant way. You could take that bit of learning right there and apply that across a lot of different areas and we have done that on the left hand side. In addition to that I would tell you we have done a better job refining our assortments both locally like we’ve talked a lot about in the past and then we taken the inventory and replayed it back to markets where we think that there is more investment, where there is more demand. So again credit to the team working collaboratively as an organization, we really pulled off some nice things and it should give us a tailwind for another quarter or so.
Scot Ciccarelli – RBC Capital Markets: That’s very helpful. And then just a follow-up. It’s actually a balance sheet question, your payables inventory were actually up a bit this quarter. I’ve always thought, given the leverage you guys should have with your vendors given how big you are in the space, that’s something that could continue to rise overtime. I would think you’ll able to take our working capital out overtime. Tony or Greg, can you just kind of give us your perspective on that? Thank a lot.
Anthony F. Crudele: Sure, Scott. This is an area where we clearly would like to focus little bit more. We believe that as we work with our vendors that we look at the entire relationship and so when we look at the type of terms that we are going to get as far as sort of finance inventory versus the cost of the goods and the other programs that they work with us on. It’s been an area where we believe that we come up with sort of the best working relationship with the vendors. Having said that, it’s definitely as we move forward it’s an area that we will continue to focus on as far as driving that. Over the last couple of years, we have used our financing ability to provide anticipation for our vendors when they needed to cash infusions and so we’ve utilized that. So generally as we came out of the recession, that’s one of the reasons why that number sort of had continued to drop down, but as businesses improved, obviously it’s an area that we will take a hard look at.
Scot Ciccarelli – RBC Capital Markets: Got it. Thanks a lot guys.
Gregory A. Sandfort: Thank you.
Operator: And we’ll take our next question from Matthew Fassler with Goldman Sachs.
Chandni Luthra – Goldman Sachs & Co.:  Hi, guys, this is actually Chandni Luthra on behalf of Matt Fassler. Congratulations on the quarter. I just have a couple of questions. Could you please contextualize the cost or CapEx implications for the new DC next year?
Anthony F. Crudele: As far as the capital around the DC, is that question? We’ve targeted about $70 million to $75 million for the facility. It will be a little bit larger than some of our other facilities, obviously due to the span and the number of stores that we anticipate that it will serve.
Chandni Luthra – Goldman Sachs & Co.: Perfect. And you guys talked about strengths that you saw in big ticket items. Could you please frame this trend versus what it has been in the last five years? I mean, is this a particularly stand out period or was this cyclically driven? And do you think this is sustainable going forward?
Gregory A. Sandfort: Yes. As far as the big ticket items, what we’ve seen over the past couple of years is that our customer is really need based. And so, it has been very difficult for us to read relative to the big ticket. For example, included in our big ticket is gun safes. Over the last two years there’s been significant activity around that. There were some cyclical business like our riding lawn mower business. That’s been somewhat stagnated down over the last seven years, but we’ve seen some fairly positive activity this year. So it’s very difficult to judge whether it’s cyclical or it’s just sort of need based, or if it’s economy based and people are just feeling a little bit better and feel that they have the opportunity to go out and spend on some of the larger items. So at this point in time, we’re still not willing to commit that big ticketed fact that people are will to spend right now. But it is something that we’re watching and we did like what we saw as we moved through the quarter and in some of the larger ticket sales, like running lawn movers, some of the power equipment, heating and items like log splitters.
Chandni Luthra – Goldman Sachs & Co.: Got it. Thank you. And one final quick question. I know this has been talked about already. But if you could just contextualize the implications of the recent commodity price declines for inflation or deflation going forward, and in terms of its margins? And what would it do so based on the – where do you see the impact from this current commodity price action on a go forward basis?
Gregory A. Sandfort:  We had talked about it just recently on another question. We tend to really try to wake and do it more on a quarter-by-quarter basis because the prices do tend to move. So I prefer to provide more specific guidance and so we give our full year guidance on the January conference call. But generally speaking, we believe that there will be some deflation next year. We expected to hopefully moderate from what we saw this year which was approximately 90 basis points to 100 basis points of impact. When do have deflation, it obviously hurts the top line, but at the same time it generally will benefit gross margin rate. So we can have a little pickup there. And again, it is our position as a management team that we are expected to manage deflation and inflation as we moved through – as we continue to manage the business in sales and margin.
Chandni Luthra – Goldman Sachs & Co.:  Perfect, thank you.
Gregory A. Sandfort:  Thank you.
Operator: And we’ll take our next question from Simeon Gutman with Morgan Stanley.
Simeon Gutman – Morgan Stanley: Thanks. Good results. You mentioned, Greg, last quarter that you would be less promotional in the third quarter and its sounds like the business stay true to that. Last quarter traffic was not as good and I think some of the promos were to get people in or spend a little more. This quarter the traffic seem better, the weather was more seasonal. So, I don’t know is there any second thoughts on whether you putting promos on to better traffic environments would have even gotten a better result and I have a follow-up for Tony.
Gregory A. Sandfort: I would tell you Simeon that our customers are need based and we are a destination store. We knew that as the weather would improve and it always does it’s just a matter of timing. We have the tale of two stories here in the third quarter. We had a continuation of spring summer, which we were able to chase and the merchants did a wonderful job of pulling product into that and feed that trend. And at the same time, in the Northern part of the country, we start seeing really stronger action to the early selling and heating another fall type product as Tony has mentioned. So when we start seeing those two kind of collide, there is no reason to step up the promotional base. And as a matter of fact, we only run 15, 16 rotations a year. We like that strategy. We don’t want to call up in a strategy longer-term of thing. It’s got to be a coupon to buy something attractive. I got to wait for the next ad and so on and so forth. And that’s what a lot of the people we compete would do. And that’s just not our business models. So no I don’t think we would have driven any more business really to any great extent by laying on more promotion.
Simeon Gutman – Morgan Stanley: And you mentioned you avoided doing any major promotions and I think it sounds like also the lesson learned from last quarter is that something that we’re not going to see repeated weather it’s a few quarters down the road or a couple of years down the road is that fair?
Gregory A. Sandfort: I think that’s fair, but I would also tell you that if we were starting to see foot traffic slow that would be a different story, but we continue to see good solid foot traffic and that’s an indicator for us that, we still got customers coming through the front doors and as long as that stay solid we’re going to stick with our plans.
Simeon Gutman – Morgan Stanley: Okay. And then my follow-up on the guidance for comp and not to get too cute with the guidance, but I think the implies for the year backs you into the fourth quarter anywhere between – slightly positive to somewhere six to maybe a midpoint of three and I think that’s just a plain math, but the lower end of that would seem overly conservative for you based on history. So is there purpose behind keeping it that wide, extra weather or is that just simple conservatism?
Gregory A. Sandfort: When we set the guidance it is sort of difficult. The one area where we have the three different sales – comp sales and the earnings. On a full year basis, the comp guidance is a little bit wide. We just felt that we didn’t want to try to narrow it specifically, but we assume that you all will sort of work up of what you think the reasonable comp is given the context around the directions that we’ve given you for the fourth quarter and sort of come up with reason a reasonable comp. We did state that we believe that het comp will be at the higher end of the range. And so that in our mind sort of put you somewhere between 3.3 and 3.8 for the full year. So somewhere in that area and then obviously whatever the math works out to get into that range. So we don’t think that it’s relatively conservative and I don’t believe if you do the math, you come out to 3 for the quarter.
Simeon Gutman – Morgan Stanley: That’s helpful. One more to sneak in back for Greg. I know you mentioned the hometown store and that sounds like you don’t want to answer a whole lot of questions on them, but I’ll try one.
Gregory A. Sandfort:  Okay
Simeon Gutman – Morgan Stanley: Franklin and Fairview, I mean we can look at the demographics from the internet here, anything specific about those towns to tell you about at least geographically, what you’re thinking about the strategy? I mean is it going to be more of a rural concept the way the Tractor is or are you thinking more suburban?
Gregory A. Sandfort: Well, you’re correct on the location selection. It was done purposely. The Franklin location sits equidistant between two Tractor stores that sit in rural environments, maybe a little bit more on the edge of suburbia and the unit that sits out in Fairview sits only a quarter of mile away in the rural environment from a current Tractor. So this is going to give us pretty good read of the type of customers that we will attract to this store format.
Simeon Gutman – Morgan Stanley: Okay thanks and good luck.
Gregory A. Sandfort: Thank you.
Operator: (Operator Instructions) We’ll take our next question from Gary Balter with Credit Suisse.
Gary Balter – Credit Suisse: Hi, this is Gary. I’ll ask only one question unlike Simeon and everybody else, who asked three. First of all, congratulations on a great quarter. That doesn’t count as a question.
Gregory A. Sandfort: Thanks, Gary. Thank you, Gary.
Gary Balter – Credit Suisse: The question is, if you look back over the last few years to or specifically some of the feed categories have been by far your strongest areas, which will be growing significantly in that area including hay. What are you seeing competitively, like whether it’s Rural King or Horseshine or Mills? Are any of these companies starting to expand their fees offerings to try to compete more directly with CUE? What have you seen in that regard? Thank you.
Steve K. Barbarick:  Yes. This is Steve. They are all formidable competitors. I mean they do a very nice job with their assortments. They recognize there is need in the marketplace. We’ve got as Greg mentioned we’ll be in 49 states or shortly. We continue to see momentum in Q, we’re growing our units, we think we’re picking up share, we’ve talked a lot about independence as well and we’re picking up some of that share. So I would tell you in general the market I think we’re out in front of the marketplace. I think we’re continuing to grow and expand what we’re doing in this area. And really the focus for us in Q is three key things. We’re constantly looking at refining our assortments. Two, we’re making strategic investments that we’re better in stock and we’re a better dependable supplier of basic maintenance needs. And three, we’ve done a really nice job using our price optimization system, so we’re right and we’ll price locally making sure that we’re taking care those customers. So we think that there is continued growth here using those free tactics.
Gary Balter – Credit Suisse: You haven’t seen the other, more direct competitors change their mix at all to try to do what you’re doing given your strength?
Steve K. Barbarick:  I would tell you there is a lot of folks out there that are doing a lot of different things. And we try to stay focused on what we’re doing rather than chasing a lot of the competitors. I would tell you that by copying if that’s the case and that’s the way they want to go, that’s a fine forms of flattery but we’re continuing to pickup share. We’re going to stay true to what we’re focused on.
Gary Balter – Credit Suisse: That’s great. Thank you very much.
Steve K. Barbarick: Thank you, Gary.
Operator: And we’ll take our next question from Alan Rifkin with Barclays.
Alan Rifkin – Barclays Capital: Thank you very much. Greg with respect to the two HomeTown Pet stores, can you just give a little bit more color on the impetus for testing those concepts now. And more importantly, what is that speak to your convection level of your core concept as well as the smaller format. Thank you.
Gregory A. Sandfort: I only give you this Alan that we have a very robust pet business in general in the company and we believe that we can do more pet business. But we don’t want to distort the interior of the Tractor Supply format, because it’s many stores with inside a store. And that format works well. It continues to perform well. So our thought process was if we believe we’re owed more pet business, how would we go about maybe achieving that and how do we understand how to grow, still grow the pet business inside of Tractor. Are there are pieces and parts that maybe we’re missing that we don’t understand. So that was the impetus of putting these two test concepts out there.
Alan Rifkin – Barclays Capital: Okay. Do you still believe that you can have the same number 2,200, 2,300 of the core concept?
Gregory A. Sandfort: Absolutely, without question.
Anthony F. Crudele:  One correction there. We feel that’s 2,100 right now. So we’re very confident in that number. We’ll obviously continue to look at sites up over and above that, but right now we feel that 2,100, we’re very confident with that number.
Operator: And we’ll take our next question from Seth Basham with Wedbush Securities.
Seth Basham – Wedbush Securities: Nice quarter guys.
Gregory A. Sandfort:  Thank you.
Seth Basham – Wedbush Securities: My first question is just around your customers. You guys have pretty good information on your customers now. You’re stuck with them in a few different categories. Do you have any sense of how they’ve been reacting to various macro and farm income forces over the last few quarters? Has there been any difference in trends?
Gregory A. Sandfort: I’ll try to answer that. What I can tell you is this, that they continue to buy the way they’ve been buying for the last three to four years. They’re credit averse. They’re paying with cash and with debit about the same rate as they have been. They continue to repair and not replace, although, we did see a little bit of movement this year because of the elongated spring/summer season. And there is some big ticket transactions that I would say, were new units in outdoor power equipment. But though, they’re very consistent and that’s what we like about this customer base, they’re fairly predictable. And they have not shown us any indication that they want to take on any type of short-term debt to do something out of the ordinary. So, no, very consistent performance, very persistent behavior.
Seth Basham – Wedbush Securities: Got you. So no major differences in rate of sales contribution from the hog farmers or production farmers or lifestylers or anything like that?
Gregory A. Sandfort: No.
Seth Basham – Wedbush Securities: Okay. And my follow-up is just around, thinking about the fourth quarter, given the favorable weather trends in September, in particular, you had good cold weather year oriented sales. Do you feel like you may have pulled forward some sales from the fourth quarter?
Gregory A. Sandfort: I’ll answer that question. At this point, we don’t anticipate that. Like I mentioned, we do like cold weather and while October temperatures are what they are, November and December are very important months for us.
Unidentified Analyst: Very good. Thank you very much
Operator: And we’ll take our next question from Denise Chai with Bank of America Merrill Lynch.
Denise Chai – Bank of America Merrill Lynch: Okay, thank you very much and congratulations on a great quarter.
Lee J. Downing: Thank you, Denise.
Denise Chai – Bank of America Merrill Lynch: Okay, so you said all the regions were comping mid-single-digit, but I think that going into the quarter, you had expected that in the Northeast and the upper Midwest the delayed on-set of summer would lead to some demand destruction, because of the very short and a gardening season? Looking at categories in those markets, did you actually see that?
Gregory A. Sandfort: Yes, I would tell you up north, we’d talked about the extended season, our ag products performance, lawn and garden and everything did pretty well. And that’s comping the prior year where we had a very strong Q3. So year-over-year we a saw nice consistent growth.
Denise Chai – Bank of America Merrill Lynch: Okay, thanks. And in term SG&A leverage, you said that which was much better than we had expected. So is that about one-third of that was coming from incentive comp, was the rest from just the higher comp, or were there some other factors?
Anthony F. Crudele: Denise this is Tony. As we’ve moved into the back half of the year coming off Q2 we were very focused on managing the SG&A. So we believe that we are aggressive when it came to the expense control and that combined with the strong comp sales really gave us that significant leverage. And then one key thing that I had mentioned on the prepared remarks was that, in Q2 medical and workers’ comp were very high and they moderated, so that gave us some additional leverage, as well.
Denise Chai – Bank of America Merrill Lynch: Okay, got it thanks. And just lastly to kind of go back to this, I guess nearly dead horse. Actually how much have feed costs declined, because we’ve talked about deflation and very broad terms in terms of your total comp. But how much of feed gone down because I’m just wondering for the person whose got a couple of horses, what are they saving because it just doesn’t seem just clear with these strength and big ticket, for example, on small agricultural equipment like mowers that you were talking about.
Anthony F. Crudele: Just give you indication, we always corn and sort of the main factor is the component in the feed category. And year-over-year it was around $4.50 last year were down to little bit below $3.50 this year. So you can see that there was a significant impact on a year-over-year basis. But directionally this actually give you an idea of the impact.
Denise Chai – Bank of America Merrill Lynch: Okay, all right. Thank you very much.
Operator: And we’ll take our next question from Mark Miller with William Blair.
Mark R. Miller – William Blair & Company LLC: Hi, good afternoon or good evening at this point. I appreciate the color that the weather helped the business, not just talking about when it’s negative. Is there way to estimate what that benefit was in the period as drought like conditions fell further year-on-year? And I think Tony your guidance for 4Q looks like about a four comp. So would that be sort of taking a ex-weather benefit run rate of around four in the third quarter and continuing it on or what’s the weather impact bigger than that?
Gregory A. Sandfort: Mark, it’s definitely difficult to make that assessment. We do look at some of the spring categories what the lift was overall, but the other complexity when you get into some of the cold winter products, selling log splitters in August, it seems to be counterintuitive. And so between the extended and the winter, I would say it would be on an injustice to try to quantify exactly what the weather impact was. As we move forward, we look at the weather as having a nice cold wintery December, but we believe there is opportunity – when last year it was a cold wintery December. This year as we move forward, we believe there’s some opportunity in October and November with a potentially cooler October, November. But generally as we move into the fourth quarter, we are optimistic that people will recant last year’s harsh winter and get out and do a little shopping earlier in the quarter.
Mark R. Miller – William Blair & Company LLC: Okay. And then can you just share with us your updated thoughts for store growth a little bit longer-term. You did mention that 8% footage or store growth. I thought there was some consideration being given to potentially going to a constant number of openings per store. Is that something you’re reflecting on? Or do you think you can continue to drive the 8% over a number of years?
Gregory A. Sandfort: Currently, our position is the 8% growth and we will take a look at growth on an annual basis and make determination as to what we believe is the most beneficial for the company and for the shareholder. So we’ll take a look that as we sort of cycle into the New Year and potentially we can address that as we move into the Analyst Day.
Mark R. Miller – William Blair & Company LLC: Okay, thanks a lot.
Anthony F. Crudele: Thank you.
Operator: And we’ll take our next question from Brian Nagel with Oppenheimer.
Brian W. Nagel – Oppenheimer & Co. Inc.: Hi, good evening.
Anthony F. Crudele: Hi, Brian.
Brian W. Nagel – Oppenheimer & Co. Inc.: Congrats on very nice quarter.
Gregory A. Sandfort: Thank you.
Anthony F. Crudele: Thank you.
Brian W. Nagel – Oppenheimer & Co. Inc.: I just have a couple of quick questions here, since towards the end of the queue. But first on the SG&A expense, and Tony you spoke about this a bit in your prepared remarks. We saw a nice leverage, actually I guess reduced SG&A growth here in the quarter. You look at that 80 basis points in leverage. How much of that you think reflected more or less one-time benefits here that we should probably not expect as we go into Q4, or even into 2015?
Gregory A. Sandfort: Well, the first thing that I would generally carve out and it’s a little bit difficult to predict is really the incentive compensation. So right off the bat, I’d say carve out the one-third and then look at the comp and the comp increase. When we look at our leverage points, depending on the quarter you can range from usually about 3% to potentially 4%. So that could be an indication that as we get above 3% on a comp, you’re going to start to see some more leverage. And the main driver will be the sales comp. We will be able to manage some of the expenses and I think we’ve done a good job in the back half, but, again, being a growth company we will continue to grow the SG&A and our goal is to do it at a lesser amount than we grow our sales base.
Brian W. Nagel – Oppenheimer & Co. Inc.:  That’s very helpful. And then a follow-up question, again, which is a quick one, and I apologize if you already addressed this, but you’ve taken your CapEx guidance down and there hasn’t been a real adjustment to store openings. What’s the reason behind that?
Gregory A. Sandfort: Yes, I had stated in the prepared remarks, some of the larger initiatives, and now we have a little bit more visibility on, have been pushed out during the course of the year. Specifically, the Southwest Distribution Center, we expected to have some capital expenditures this year and we do project to still have a few in the fourth quarter, and particular, some land purchase. We also expected to have additional lease space for our Northeast facility. We have identified some space very close to our current distribution center in Hagerstown and we expected some additional expense related to that, and some capital as well. So those projects got push back. And then, we usually maintain some CapEx dollars for the potential purchase of some of our lease stores in acquiring those properties, but we do not anticipate doing any this year in actuality. So that was a significant saving. So what I would reiterate and I think that is important, as we move forward into next year we have set a goal that we do not want to exceed CapEx of $250 million a year. So even with a portion of these projects being pushed into 2015 we will still maintain our CapEx at no higher than $250 million for 2015.
Brian W. Nagel – Oppenheimer & Co. Inc.: Thank you very much. Congrats again.
Gregory A. Sandfort: Thank you.
Anthony F. Crudele: Thank you.
Operator: And we’ll take our next question from Dan Wewer with Raymond James.
Dan Wewer – Raymond James: Hi, Greg, just a quick question about HomeTown Pet, if the two test stores are proved to be successful?
Gregory A. Sandfort: Yes.
Dan Wewer – Raymond James: Would it ideally become a growth platform, a new growth platform for Tractor Supply or is that to convince some of the channel exclusive brands that currently are not selling the Tractor that you could responsibly and effectively carry those brands in your full line stores and therefore not need to rollout the HomeTown Pet?
Gregory A. Sandfort: As I stated before Dan, hometown is a test of two stores. You hit on it that there is going to be some mix of products in those stores that we currently do not carry in Tractor. And we’ve got some learning here between these two locations. So I think that’s about as much as I’m willing to tell you at this point. We haven’t got the first store opened yet and that’s going to be in a couple weeks and there will be more to talk about some time in other part of next year I think.
Dan Wewer – Raymond James: Okay, great thank you.
Operator: And we’ll take our next question from Adam Sindler with Deutsche Bank.
Adam Sindler – Deutsche Bank: Yes, hi, good afternoon guys. I will add my congratulations as well.
Gregory A. Sandfort: Thank you.
Adam Sindler – Deutsche Bank: I was wondering if you could talk a little bit more about the mixing centers. I think this is a very important development especially given the growth in Q. If you could maybe tell us just a little bit more how sort of the size of these things the CapEx requirements relative to a DC, how quickly you can get them open? And then how that might change your views on growing the distribution sort of a capacity in networks going forward?
Gregory A. Sandfort: Well, I’m I’ll give you what I’m comfortable to tell you, how about that?
Adam Sindler – Deutsche Bank:  Sounds great.
Gregory A. Sandfort: And that is that this is not going to displace distribution centers, but what it actually does is it allows us to improve our ability to service stores and also to take some pressure off of the supply chain. We’ll have two operations opening in the South next spring. Average CapEx is about $8 million. We like to look at these as lease facilities first and build purchase facilities second. There in the way between 50,000 to 70,000 square feet. Think of it as an elongated age, a lot of doors on both sides where product comes in one side is quickly moved and sorted and pushed across in the trucks on the other side of the building. And this is kind of a rapid response methodology in a way. So what we’ll do long-term, long-term it helps us to move high velocity, high bulk, low value product more cost effectively, that’s the bottom line. That’s what we’re trying to do.
Adam Sindler – Deutsche Bank: Okay. And then given just sort of at least first or second, if you saw these two really help drive productivity, how quickly would you be able to ramp this going forward?
Gregory A. Sandfort: Great question. I don’t have a direct answer for you on that. It will be a combination of – we’ve already gotten some target markets where we believe if this works well we would go, but we have not worked on any additional leases or properties at this point.
Adam Sindler – Deutsche Bank: Great. Thank you so much.
Operator: And we’ll take our next question from Aram Rubinson with Wolfe Research.
Unidentified Analyst: Hi guys, this is [Cody Ross] (ph) filling in for Aram. Quick question and I’ll make it brief. You had previously called out that localization of products is a big focus especially out West where the stores are farther apart. Can you just provide an update on that front? Thank you.
Steve K. Barbarick:  Yes, absolutely. This is Steve. We’re making great strides out there. I would tell you that the stores out in Arizona, New Mexico, Colorado, Nevada have different assortments than what you are going to find out East. Even the store Utah that we’re going to open will be carrying beekeeping supplies. And yes, you’ve heard me right, that is beekeeping supplies. We went out there, we research the market and we saw in a lot of our competitors and thought, well, we better put our best put forward out there when we move out there. So you are going to see a lot of localized products. We’re continuing to refine what we are doing. We have ongoing conference calls with our store operators out there, because they are really leading us down the path of what those customers are asking for and we’re tweaking our assortments as we move forward.
Unidentified Analyst: And that was in Utah you said you have the beekeeping supplies?
Steve K. Barbarick: Yes. Yes, that’s accurate.
Unidentified Analyst: Okay. 
Steve K. Barbarick:  And what’s interesting about that is, you’ve picked up, you’ve learned little things here and there, and then you find over time that there may be more opportunities in other existing stores. So again these are all test-and-learn type formats in product categories, and we’ll see how they do.
Unidentified Analyst: Great. Thank you very much.
Operator: And we’ll take our next question from Joe Feldman with Telsey Advisory Group.
Joe Feldman – Telsey Advisory Group: Hi, guys, thanks for taking the question and congratulations on the quarter. I wanted to ask I know it’s still very small, but like with online purchases, are you seeing any different behavior like or what people buying online is it different, is it like skew towards more consumable or more big ticket or anything. Are you also seeing more pickup in store or desire to pickup in store than just a delivery? I was curious to just initial earnings that you are finding.
Gregory A. Sandfort:  Joe, this is Greg. What we are finding is that our customers are looking for products either in what I would consider to be not standard in a typical tractor, but in other words, a long tail aspect SKUs that maybe with all Korean tractor, but are available online. And a category of product that we have to keep more narrow because of the store we want to get X amount of space. But we’re seeing people do that. I’ll give you an example in our business with portable buildings. We have an assortment inside the store for that, but online we have just elongated broad a long, long tail and they’re buying out of the long tail. Larger buildings, different size buildings, custom buildings, and so on. So that’s what we’re seeing a lot in our online business. There are some customers that are buying some dog food products that we sell in the stores, I’m not going to tell you they’re not, they’re doing it for convenience. But its primarily the things that would be out of the long tail that you wouldn’t find in our store.
Joe Feldman – Telsey Advisory Group:  Got it, that’s helpful thanks. And one more and I apologize if I missed it before. But did you guys address we always ask about where you might stand with an affinity type of program. I know you’ve been testing some different things I just wanted to get an update there.
Steve K. Barbarick: Yes, I’ll go and take that, this is Steve. We brought on our director of customer marketing earlier this year because we felt like we needed to add to our expertise. He’s come in, he’s been a lot of very interesting things, his targeted e-mail and made us more relevant we’re getting better click through rates and page opening rates. When it comes to affinity we’ve had a number of cross functional meetings, we’re right now in the process of building some business requirements for it. But you won’t see anything as far as a pilot until a very back half of 2015 and even then it will be just a test.
Joe Feldman – Telsey Advisory Group:  Got it that’s helpful thanks and good luck with this fourth quarter.
Steve K. Barbarick: Thank you.
Operator: And we’ll take our next question from Mark Montagna with Avondale Partners.
Mark K. Montagna – Avondale Partners, LLC: Hi, question about plan-o-grams, based on one of your answers during Q&A its sounds like you have one more quarter of the big benefit from the plan-o-gram research. So I just want to make sure that’s accurate. But then, if that’s true, have you cycled through the entire square footage of the store but with the new plan-o-gram center I would assume it’s fair to assume you can take that to another higher meaningful level of the effectiveness. I just want to make sure I’m interpreting that all correct.
Gregory A. Sandfort:  Yes, for the most part you are. I mean I may have misspoken when I just said one quarter and I don’t want to over build it. I would say that we had a very solid Q3, we saw performance we hadn’t seen in the past. You would anticipate that to continue forward, but again things can change, customer habits can change. I feel very good about the progress we made on that side of the store. The new plan-o-gram center will allow us to be more effective looking at. So I would say we’re constantly in a test-and-learn mode and that’s where, I’ll leave it.
Mark K. Montagna – Avondale Partners, LLC: Okay, thank you.
Operator:  And we’ll take our next question from Matt Nemer with Wells Fargo Securities.
Matt Nemer – Wells Fargo Securities: I just got one follow-up question, which is distribution related. Is there way to quantify the impact of sort of an ideal distribution network when you roll out the new facility in the Southwest and the West and the expansion in Northeast? Obviously there’s a tradeoff between the CapEx and P&L, but do you think that the benefit to gross margin is in the tens of basis points or on lower stem miles or potentially a lot better than that?
Anthony F. Crudele:  When we look at it, we look at the distribution network or a distribution center as we build them at full capacity. The cost of the building will net against the transportation cost. So we look at them generally as neutral and depending on when we eventually push to two to three shifts, we do expect some benefit that would outweigh the cost. So from a modeling perspective, I would tend to show the increase in SG&A with a comparable offset in gross margin transportation.
Matt Nemer – Wells Fargo Securities: Okay. And I guess, just as a follow-up to that. After you have these new facilities that you’ve discussed up and running, how many units – what’s your total capacity in terms of the number of the units you can serve post these new facilities?
Gregory A. Sandfort:  Relative to the distribution centers, our long-term plan is obviously 2015 do a facility in the Southwest. And we target about two years after that looking at the Northwest. And then, eventually depending on the capacity, the added capacity from the additional leased space in the Northeast, we’ll eventually be looking at the Northeast as well. So once we’re there we would expect that we would be able to exceed the 2,100 that we currently have. We anticipate that from a distribution center capacity we would be able to exceed that number as well as have some additional capacity through the mixing center network as well.
Matt Nemer – Wells Fargo Securities:  Okay, great. Thanks so much.
Operator: And we’ll take our final question from Brent Rystrom from Feltl.
Brent Rystrom – Feltl and Company: Thank you, and good morning. A quick couple of thoughts for you. I was thinking about all the questions on the farm economy. And so as an observation as somebody who is a farmer and lives in the Midwest, the 2012 crop, which was the drought crop that became so valuable, was worth about $64 billon, the corn drop. And from a simplistic perspective as production rebounded in 2013, the value of the realized value of that crop was about $54 billion. When you look at the futures curve right now and you look at the projections for yields, it looks like the current crop is valued at about $53 billion. It would seem to me that if there is indeed a risk or an impact from the slowing farm economy, it would have hit you on the $64 billion to $54 billion drop, not the $54 billion to $53 billion. Does that make sense? 
Gregory A. Sandfort: It definitely makes sense. Again, we don’t believe that there’s that direct correlation and I can appreciate taking…
Brent Rystrom – Feltl and Company: I understand that but everybody seems to be fixated on this and from a simplistic perspective…
Gregory A. Sandfort: It would have already come, is what you’re saying...
Brent Rystrom – Feltl and Company: Yes.
Gregory A. Sandfort: Yes.
Brent Rystrom – Feltl and Company: And so if it even is an impact, wouldn’t it have implied to you that the impact was in the second half of 2013 and the first half of 2014, when those prices that dropped has realized at that point, which coincidentally coincided with some very supportive comps for you guys?
Gregory A. Sandfort: Yes…
Brent Rystrom – Feltl and Company: Whether it was related or not, it happened already…
Gregory A. Sandfort: Yes…
Brent Rystrom – Feltl and Company: And right now it doesn’t look like there is pricing in any significant change the current crop, which started getting harvest right now compared to last year’s. So I just want to say that seems reasonable, right?
Gregory A. Sandfort: Yes.
Anthony F. Crudele:  Yes. 
Brent Rystrom – Feltl and Company: All right. Then I was at the Industrial Pellet Association Conference in Miami earlier this month and there were dozens of small retailers from New England and the Midwest there. And all of them saying that they’re having a very difficult time finding wood pellets for this season and you guys were cited as a reason, which I view as a positive for you, in that as you guys grow your business in the wood pellet business and as a couple of your other big box competitors do as well, it’s getting more difficult for the smaller players to buy wood pellets, particularly as the export market for wood pellets heats up. You guys appear to be really, really well positioned for this. I’m just sensing this could be a very big opportunity this fall in the wood pellet business for you guys seasonally. Would you care to comment on that?
Steve K. Barbarick: Yes, this is Steve. I would tell you that heating a big business for us. We did make some strategic investments across all lines of heating and I think we’re well positioned as we go into November, December.
Brent Rystrom – Feltl and Company: Thanks, guys.
Gregory A. Sandfort: Thank you, Brent.
Operator: It appears there are no further questions at this time. Ms. Skold, I would like to turn the conference back to you for additional or closing remarks.
Gregory A. Sandfort:  This is Greg. Let me just close by saying thank you all for your interest and support of Tractor Supply. We look forward to speaking to all of you again on our fourth quarter performance in January of 2015 and this will end the call.
Operator: This now concludes the presentation. Thank you for your participation.